Operator: Good day and welcome to the New York Times quarter two 2006 earnings conference call. (Operator Instructions) For opening remarks and introductions, I’d like to turn the conference over to Ms Catherine Mathis. Please go ahead.
Catherine J. Mathis: Thank you and good morning everyone. Welcome to our earnings conference call. We have several members of our senior management team here today to discuss our results with you, and they include Janet Robinson: President and Chief Executive Officer, Len Forman: Executive Vice President and Chief Financial Officer, Scott Heekin-Canedy: President and General Manager of The New York Times, Martin Nisenholtz: Senior Vice President of Digital Operations, Jim Lessersohn: Vice President of Finance and Corporate Development, Stu Stoller: Vice President of Process Engineering and Corporate Controller, and Tony Benten: Vice President and Treasurer. Our discussion today will include forward-looking statements, and our actual results may differ from those predicted. Some of the factors that may cause them to differ are included in our 2005 10-K. Our presentation today will include non-GAAP financial measures, and we’ve provided reconciliations for the most comparable GAAP measures in our earnings press release, which is available on our website nytco.com. This conference call is being web cast and an archive will also be available on our website, as will a transcript and a version that is downloadable to an MP3 player. An audio replay will also be available, and the directions are in our earnings press release for that. Given the number of announcements that we have had today, we are going to limit our remarks to one hour, so we are going to try end this call at 12:00 noon sharp. With that, I’m going to turn the conference call over to Janet Robinson.
Janet L. Robinson: Thank you Catherine and good morning everyone. Before I review the quarter, I would like to discuss an announcement that we made today. As we have said in the past, we have been reviewing all of our businesses to find ways to reduce costs and operate more efficiently. We have had considerable success. Over the past two years we have eliminated approximately $100 million in annual costs through improved productivity and other measures. Today we announced two moves that we believe will result in considerable additional savings, and generate an estimated after-tax return on investments of at least 15% with a pay back period of 5 1/2 years. The first is that we are planning to consolidate printing in metropolitan New York at our newest facility in College Point, Queens, and sublease our older Edison printing plant. We will also be adding a new press at the College Point facility. Once the consolidation is complete and the new press is operational, we will be able to print at College Point the same number of copies we are currently printing at the two plants and still have room for growth. We are able to do so because of the increased speed of the new press and the production efficiencies we have been able to achieve in recent years. At the same time that we consolidate the two plants, we plan to reduce the web width of the Times in all editions across the country from 54 inches to the evolving industry standard of 48 inches. This is similar in size to USA Today, and beginning next year, The Wall Street Journal. Just under half of the Times’ circulation comes from the New York area, and the rest of the country with the exception of Boston and Lakeland, Florida, we do not own the presses that print the Times. We believe it is a better use of our capital to rent time on other presses than to construct printing facilities. In the past year, we have added two more contract print sites for the national edition, expanding availability outside New York. Both the plant consolidation and the web width reduction are expected to be completed in the second quarter of 2008. We plan to record one time charges for severance and buyouts, and other consolidation expenses associated with these projects. The amount and timing of such charges have not yet been determined. On an annualize basis the savings are expected to total more than $42 million, which Len will detail in just a moment. In addition we will avoid the need for approximately $50 million in capital investments that would have been needed at the New Jersey facility over the next 10 years. Since we began making significant cost reductions, we are often asked if there is still savings to be had. The answer is yes, and it remains so even after this announcement. Our folks are continually looking for and finding creative ways to streamline our operations, and to improve the performance of our businesses while still delivering the superior content that is at the core of our brand. Now let me turn to our performance in the second quarter. Today we reported second quarter earnings per share of $0.42 based on GAAP, which is equal to our EPS in the same period a year ago. In the quarter, we had a charge of $0.04 per share related to staff reduction, the same as we had in the second quarter of last year. Our GAAP earnings came in right in the middle of the range we provided in June. As we indicated in our guidance release, our tax rate was lower in the quarter, which amounted to a benefit of about $0.02 per share. Advertising revenues of the news media group varied significantly from property to property. Overall advertising revenues rose 1.4% of the New York Times Media Group. Strong categories included residential real estate, where advertising climbed sharply as a result of greater inventories of homes to sell; telecommunications, which had strength across key accounts; and transportation, which benefited from new and increased advertising from airlines and proved companies. Advertising was soft in entertainment, which saw poor hold over in the box office and lackluster support for summer blockbusters; automotive, which was soft at our other properties as well, in part due to the lack of employee discount pricing promotions that we had last year; and technology products, which had difficult comparisons to last year’s major campaign. Revenues benefited from new products we have introduced this year such as the second issue of Play, the New York Times sports magazine which came out in June. Additional issues of publications are scheduled for the balance of the year. In addition, we plan to introduce a new real estate magazine in September, and expect to have multiple issues of it next year. At the International Herald Tribune, advertising revenue grew 23% in the quarter, as advertising rose in a broad array of categories. The New England Media Group had a challenging quarter as it continued to grapple with a difficult economic climate, and consolidation among major advertisers. Advertising decreased 10% in the quarter, as key categories such as department stores, automotive, travel, telecommunications, and entertainment declined. The group continues to be affected by the consolidation of two of its largest retail customers, Macy’s and Filene’s, as well as advertiser's, telecommunications, and airlines. Looking ahead, several significant retailers have announced plans to enter or expand in the Boston market place in 2007, including Nordstrom’s and Neiman Marcus. As you can see in the earnings press release, one area that has performed well in New England is other revenue, up 16%. This was driven mainly by commercial printing. The Worcester Telegram and Gazette prints Metro Boston and the New York Daily News. In June, the Globe also began printing the New York Post. Our regional media groups advertising revenues rose about 5% in the quarter. Like the Times Media Group, real estate advertising was particularly strong. New products such as weekly newspapers, magazines, direct marketing and local Internet products contributed significantly to the improvement. Other revenues increased strongly, up about 12% driven by outside printing revenues and distributions. The Company’s total circulation revenues were up slightly in the quarter. Circulation revenues improved by nearly 3% at the Times Media Group as a result of home delivery price increases we initiated in February, and in improved sales of the daily paper. At the New England Media Group circulation revenues decreased 7%. Circulation revenues increased slightly at the Regional Media Group due to subscription rate increases. The website in our News Media Group had very strong growth and advertising revenues up 25% in the quarter, a particularly good showing given the large revenue base for this increase compared to others in the industry. Times Select, our premium subscription offering on nytimes.com continues to grow, and now has approximately 513,000 subscribers, 63% of whom are also print subscribers, 37% are online only subscribers. During the quarter we re-launched nytimes.com and have received very strong responses from readers and advertisers. It is much more dynamic and easier to navigate. We have significantly increased the number of videos on the site. At the same time, we have provided advertisers with more choices including larger unit and sponsorship opportunities around video and audio. This month we are introducing in Beta, My Time, a new feature that enables readers to create customized pages with RSS feeds from nytimes.com, as well as other sites on the web. About.com had another outstanding quarter, and continues to exceed our expectations. As we said in June, we expect About.com to add to earnings this year earlier than we had initially anticipated. In June, it reached 40 million unique visitors worldwide, up 22% from last year. The improvement in visitors has translated into revenue. In the quarter, About.com’s total revenue climbed 63% against a very strong quarter a year ago. All three of its revenue streams display advertising, cost per click advertising, and e-commerce, show strong growth because of higher rates and increased spending from blue chip advertisers. In the first half of 2006, we have added 42 new guides and more are planned for the balance of the year. About.com continues to drive traffic to nytimes.com, boston.com, and our other websites. It also continues to cross market our sites, further promoting our brands and extending our reach into reader’s homes and offices. With About.com, nytimes.com, and boston.com, we are now offering over a billion monthly page views to the market place. In total our digital businesses generated revenues of $66 million in the second quarter, accounting for almost 8% of the Company’s total revenues, compared with about 6% in the same quarter last year. This includes About.com, nytimes.com, boston.com, the websites of our regional and Broadcast Media Groups, and our digital archives. Revenues at our Broadcast Media Group rose 5% in the second quarter, mainly because of the additional revenues from KAUT-TV, which we acquired last November, and increased political advertising. Excluding KAUT-TV, revenues were up 2% as political campaigns got under way, and pacing in July are currently up in the mid-single digits. In July, print advertising continues to be challenging, especially in categories such as studio entertainment, automotive, and corporate, where we are experiencing declines. Our Broadcast Media Group expects to see continued improvement in the quarter, especially as we move closer to mid-term elections, and our digital properties continue to record solid gains, particularly, About.com. Across the organization we remain focused on improving our margins by continuing to enhance our existing businesses. We will continue to develop our leadership positions in key content areas and to stay ahead of the curve through our research and development units. As demonstrated by today’s plant consolidation, and web width reduction announcement, we remain dedicated to finding ways to reduce costs and to improve efficiencies. There is another announcement that we made today that I would like to mention. Len Foreman, our Executive Vice President and Chief Financial Officer, plans to retire next year. We have hired an executive search firm and will look at both internal and external candidates. Len has been an outstanding Chief Financial Officer. His strategic insight and financial disciplines have been critical elements in positioning the Company for the future. Over the past several years, he has championed several productivity improvements and efficiencies that have been enormously beneficial for the Company. In his more than two decades of service, he has provided strong leadership, helping to develop the next generation of financial executives. We are deeply grateful for all that he has contributed to The Times Company. With that, let me turn the call over to Len.
 Leonard P. Forman: Thanks Janet. I appreciate your kind words. I do plan to continue working with Janet and our team until the new Chief Financial Officer is appointed, and then to stay on for a short period of time with the new Chief Financial Officer to ensure a smooth transition. I’ve gotten to know many of you listening in today, and I’ve enjoyed our discussions and our occasional debates about our industry, our Company and our future, which we remain confident about. Let me now turn to the quarter. Total costs rose 2.9% in the quarter, driven primarily by increased raw material expense, higher benefit cost, increased distribution and outside printing expense, and higher promotion expense in support of our circulation initiatives. We expect that the rate of growth per cost, excluding those for staff reduction, and the extra week in the fiscal calendar to continue to trend lower for the balance of the year. Newsprint expense rose 7.4% largely as a result of higher prices, which were partially offset by lower consumption. As Janet mentioned, the web width reduction at The New York Times will help us continue our drive to decrease newsprint consumption. When the conversion is completed, we expect to save around $12 million a year. This is in addition to the steps we have taken over that course of the past year, which include moving to a lighter weight sheet, and eliminating a TV book at the Times, and the daily stock tables at both the Globe and the Times. With the consolidation of the two printing plants, we expect to save approximately $30 million in operating expenses, for a combination of reduction in payroll, plant overhead, maintenance, and real estate. We plan to reduce our work force by approximately 250 FTEs when the consolidation is complete in 2008. These reductions are on top of the 700 positions we have eliminated over the course of the past year. To put it in perspective, at the beginning of 2001, we had approximately 13,800 employees, and by the end of 2006 we expect to be around 11,400, or down 17% excluding acquisition and divestitures. Capital expenditures for the consolidation and web width reduction are expected to total approximately $150 million. Of that amount approximately $20 million is expected this year, and it’s included in our current guidance. The balance will occur in 2007 and the first half of 2008, and as Janet said, we will avoid the need for an estimated $50 million capital at our Edison plant over the next 10 years. Looking at CapEx in the quarter under GAAP, the total amount of capital expenditures for our new headquarters for both the Company and our development partner must be included on a consolidated basis in our financial statements. In the quarter, total capital expenditures was $79.7 million. Of this amount, our development partner’s responsibility was $24 million. The balance of $55.7 million was the Company’s responsibility, including $39.7 million, for our portion of the cost of our new headquarters. We expect to move in the second quarter of next year and our capital spending on the new building will come to an end. With the reductions in our staff that have taken place in the past year, we will be able to lease at least four of our floors to generate rental income. As you may know, mid-town Manhattan real estate market has improved significantly. We believe that the value of our new building in today’s real estate market is worth considerably more than our cost, and we are looking at ways that we might realize these gains once the building is completed. We will evaluate the long and the short term benefits to our shareholders of re-capitalization alternatives considering economic and market conditions at that time. With that we’d be happy to take your questions.
Operator: (Operator Instructions) We’ll take our first question from Alexia Quadrani with Bear Stearns.
Alexia Quadrani - Bear, Stearns & Co.: Hi, thank you. A couple of questions. First, you had a lot of great growth coming from your new products. Can you just give us an idea of how the profitability compares versus your core newspaper products? Then, I have a couple of others to follow up with.
Janet L. Robinson: I’ll address some of the products at the regionals and the Boston Globe, and Worcester. I’ll have Scott address the Times. We have entered into the launch of many weeklies, and certainly magazines in every one of our regional markets and paid strict attention to launching these with the thought that we have instant profitability. We have been extremely successful in making sure that is indeed the case. Many of our magazine products, just to note, are database focused, so they are not included in the newspaper. They are sent very efficiently to people who are requesting them, or are a specific target. In regard to the weeklies, we have particularly focused on making sure that those weekly’s are launched in areas that show a great deal of growth, not only in population, but also in advertiser availability and expansion. At the Globe, with Sidekick and with the re-launch of their magazine, the Globe Magazine, about two-and-a-half years ago, we have seen, again, strong profitability in those new products. As we redesign products as well in Boston, we have seen very good profit margins and profit increases in regard to those as well.
Alexia Quadrani - Bear, Stearns & Co. : When you talk about your profitability improvement mid-year and also that you implied on the conference call, should we actually see operating income margins improve in the second half of the year? Or is that more of a 2007 event, when you see a lot more of these cost savings realized?
 Catherine J. Mathis : One of the things that we would note too, Alexia, is that the magazines that we have in our regional newspaper group use the same newsrooms as the newspapers that we publish. So from that vantage point, the profitability is very good.
Leonard P. Forman: Just to be specific at the regional group, if you exclude start up costs - and even with start up costs, these products are profitable right out of the gate - margins are comparable or better with these products.
Janet L. Robinson: We are monitoring those, to your point, Alexia, on a monthly and a weekly basis to really look at margin improvements. The point that Catherine made in regard to these products really being used by the same newsrooms at the regionals, and certainly again at the Globe, is an important one. It really goes to the integration that has taken place within our Company, certainly in print, but online as well, really fully utilizing the content resources across a broad array of products to really drive profitability throughout the Company.
Alexia Quadrani - Bear, Stearns & Co.: I guess going bigger picture, Company-wide, looking beyond the new products, is it realistic to assume actually margin improvement, given - I know you’ve had great efforts in cutting costs - but the revenue environment remains very challenged. Do you still think we’ll see margin improvement?
Janet L. Robinson: Yes, I do. As I noted in my remarks, we are constantly looking at creative ways in which to look at productivity and profitability increases. We’re doing that certainly by better cost control and strict discipline, but we’re also doing that by expansive use of the resources that we do have, and certainly driving revenue initiatives throughout the Company. Alexia Quadrani - Bear, Stearns & Co. Lastly, on the classified sector, the help wanted declines; is that predominately in the New England area, or do you have negative help wanted growth across all your major properties?
Janet L. Robinson: We have declines at all of our major properties. We are seeing softness in that category in print; however, we are seeing very strong growth in regard to the online recruitment activity.
Scott Heekin-Canedy: I’d add a little bit of color to The New York Times recruitment story. This is inconsistent, but we’re continuing to see agate declines. We’re seeing growth in print display, and we’re seeing quite robust growth at our website.
Janet L. Robinson: Just a correction in regard to the regional newspapers; they are seeing an increase in recruitment of 1%, not a decline. Alexia Quadrani - Bear, Stearns & Co. Thank you.
Operator: We’ll take our next question from Steven Barlow of Prudential.
Steven Barlow - Prudential Securities: Thank you. Janet, based on your remarks on July, you had a 3.9% increase in ad revenue last July, would we see negative ad revenue in July? Then secondly, you talked about reviewing all of your assets. Have you thought about, with a good sale prices we saw in the Knight-Ridder papers, of selling New England Group? Thank you.
Janet L. Robinson: In regard to the July, as I said in my remarks, we’re seeing some softness in July in some of the major categories, entertainment and automotive being one at our major properties. It’s a little early still in the month to tell, because we’re still seeing opportunities in the last two weeks. We’re still seeing extremely strong growth in regard to our digital properties. So to predict that we’re going to be showing a decline in July is still a little early, Steve. As I’ve said often, we constantly review all of the portfolio in regard to what we have now, and importantly what we would invest in going forward. New England continues to be a very strong element in our portfolio. We have a 70% penetration in the New England market. It is considered by many in the area as a must buy. We have been working very hard in regard to new people that have taken on leadership positions in Boston, as well as new products, to really re-focus our efforts, not only in regard to expense control, but also in regard to revenue generation. We continue, as I noted, to make sure that profitability and productivity be part of what our game plan is, not only at our other properties, but certainly in New England as well.
Steven Barlow - Prudential Securities: Lastly, in June of ’05 you announced Market Place Weekly. Has that disappeared?
Scott Heekin-Canedy: This is Scott. Yes, we’ve withdrawn Market Place Weekly from the market. We came to the conclusion that it was the right concept, but not the right execution, so you may have also noticed, about maybe three weeks ago, we made the announcement of a partnership with Metro New York to supply classified ads that will run beginning - we haven’t got an exact date yet - probably beginning about the end of August. You’ll see recruitment ads on Monday, and real estate and automotive ads on Friday. This, in a sense, borrows a page from the Boston Globe playbook, which introduced such a product several years ago.
Steven Barlow - Prudential Securities: Thank you both.
Janet L. Robinson: You’re welcome.
Operator: We’ll take our next question from Paul Ginocchio with Deutsche Bank.
Paul Ginocchio - Deutsche Bank Securities: Hi. Two questions. One for Scott. What was the circulation in ’92 when you opened the Edison plant in the New York City metro area versus today? Then, second, for Len, did you think about outsourcing all of printing in New York City, and if so, what kept you from doing that? Thank you.
Leonard P. Forman: I’ll take that last question. We’ve been thinking about outsourcing throughout the organization, very difficult to outsource all of our printing in New York, plus the utilization of the printing facility. It doesn’t leave a lot of margin for somebody coming in to take it on. Just as a reminder, 50% of our circulation is already outside of the New York market. 50% of our circulation is already produced on an outsourced basis. As those trends continue, increasingly more of our circulation will be essentially printed on a contract basis.
Scott Heekin-Canedy: I just happen to have my history with me. Back in 1992 our total circulation on Sunday was 1.7 million, and on daily it was about 1.1 million.
Paul Ginocchio - Deutsche Bank Securities: That was all New York?
Scott Heekin-Canedy: No, I’m sorry that was total. New York was approximately 700 daily and approximately one million on Sunday.
Paul Ginocchio - Deutsche Bank Securities: Great. Thank you.
Operator: We’ll take our next question from William Bird of Smith, Barney.
William Bird - Smith Barney: I think you mentioned plans to sublease the Edison facility, just wondering if you have a contract in place, and how much of this is captured in your cost savings estimate. Thank you.
Scott Heekin-Canedy: We don’t have a contract in place. We started a discussion and based on our preliminary discussion, we feel the real estate market is quite favorable. Those costs have been included in our calculations.
William Bird - Smith Barney: Also, I was wondering if you could give any specific numbers on print versus online recruitment ad growth. Thank you.
 Martin A. Nisenholtz: I’ll take the online. At the Times, help wanted growth for the quarter was 34.5%. Year-to-date it’s 42.9% and in Boston, help wanted grew more slowly because of the agate upsell issues that grew 6.1% for the quarter, and 8.3% year-to-date.
Scott Heekin-Canedy: Overall, print help wanted declined double digits, up to 20% in Q2.
 Martin A. Nisenholtz: At the Times.
Scott Heekin-Canedy: Thank you.
Janet L. Robinson: At the Globe, help wanted declined about 12% in June, and at the regionals it grew about 3%.
Operator: Thank you. We’ll go next to Lauren Fine with Merrill Lynch.
Lauren Fine - Merrill Lynch: Thank you. I’m wondering if you could tell us if you are assuming that you are going to have any change in ad rate with the web width reduction or of advertisers really just becoming accustomed to this. Also, you changed your interest expense assumptions. I’m wondering if you could tell us what led to that change. Also, there had been a time when you had been expecting margin increases for the year, are you backing away from that now?
Scott Heekin-Canedy: Lauren, this is Scott. Based on the past history of web width reductions from roughly 54 inches to 50 inches, both from our view of our sister newspapers within The New York Times Company, and our understanding of how that transpired in the industry, we do not expect this web width reduction to have an impact on our revenue.
 Leonard P. Forman : Lauren, this is Len. On interest rates, we basically lowered interest expense for a few reasons. One related to the discovery put slower cap spending on another and some of the additional interest income that we received from our instruction partner in return for the loans that we guaranteed.
Janet L. Robinson: To your third question, Lauren, we are not backing off on margin improvements. As evidence by what we are doing, not only in regard to new product development, our digital push, and certainly the many things that we have done in regard to solid expense reduction, we think that we will continue on the course of margin improvement. I would just add to Scott’s note in regard to our conversion to 48, that we are also adding franchise positions for a lot of our advertisers as we are looking at the 48 inch conversion, which will be sold very proactively to a lot of our advertisers.
Lauren Fine - Merrill Lynch: If I could sneak in one more question, with the consolidation of the plants, could you discuss what you think the change in DNA will be? Obviously when you built Edison, I’m sure you imagined a longer life for it.
 Leonard P. Forman : We haven’t really worked all through those calculations yet, Lauren. We’ll have more to say on that when the numbers get turned up.
Lauren Fine - Merrill Lynch: All right, thanks.
Operator: Thank you. We’ll take our next question from Debra Schwartz with Credit Suisse.
Debra Schwartz - Credit Suisse: Hi, thank you. I was wondering could you give us an update on your cost initiatives at the Globe. Maybe give us a sense of how cost and margins were there for the quarter?
Janet L. Robinson: There has been very concerted effort at the Boston Globe for a number of years. A program, in fact, entitled Streamlined to Grow, that has been looked at, really has looked at all departments. Has looked at certainly, the workforce, the workforce needed, but also in regard to how we are looking at the use of newsprint. If you remember correctly, there has been a consolidation in printing there, primarily at Billerica and at the Morrissey Boulevard facility as well. So from all aspects, whether it be newsprint conservation, looking at the workforce, cost attributed, really across the entire organization, particularly with the back office consolidation of the Worcester Telegram in Boston, we have been able to look at very, very strong savings in Boston, and continue to going forward. They too, are looking at the opportunities to really look at print digital working very collaboratively together to better utilize the resources both on the news side and on the business side, which of course, will add for its productivity.
Debra Schwartz - Credit Suisse: Great, thank you.
Janet L. Robinson: You’re welcome.
Operator: We’ll take our next question from Craig Huber with Lehman Brothers.
Craig Huber - Lehman Brothers: Yes, good morning. With this new $150 million CapEx project, I was just wondering is your thought to do further Internet acquisitions over the next year and a half? Is that curtailed for awhile? Are you comfortably jacking up your debt leverage quite a bit?
Leonard P. Forman: I think we’re fine with where we are, it certainly a number that we have been thinking about for some time even though we haven’t talked publicly about it. We’re comfortable that we’ll have enough cash flow from our investments that we currently have made with our current levels of debt to be able to handle any acquisition. Obviously, we’re not talking about an acquisition of the size of About.com which would require us to do something, but our building expense, as you know, will be done next year, so that frees up an additional resources.
Craig Huber - Lehman Brothers: As a fault, could you break out your real estate trends in the quarter for Boston, New York City? My final question, could you just elaborate what were your non-news print cash costs percent change was in the quarter? Thanks.
Catherine J. Mathis: Craig, could you repeat the second part of your question?
Craig Huber - Lehman Brothers: Just non-newsprint cash cost percent change in the quarter, please, for the newspaper division.
Janet L. Robinson: Real estate in New England - April was down about 10%, May was down about 5%, and June was down about 9% for a total of about 9% in the quarter. At the regional group, it was up 36% in April, 37% in May, and 42% in June for a second quarter performance up 38%. What was the other category, Craig?
Craig Huber - Lehman Brothers: The same numbers for New York City, if you would please?
Janet L. Robinson: And New York was up 16% in April, May was up 19%, June was up 19%, so the second quarter performed positive 18%.
Leonard P. Forman: Craig, I think you asked about non-raw material cash costs?
Craig Huber - Lehman Brothers: Yes.
Leonard P. Forman: They were up a little over 2%. 2.2% for the quarter.
Craig Huber - Lehman Brothers: Sounds like from your comments you’d be able to hold it to that, or hopefully better in the second half of the year?
Leonard P. Forman: We’re looking; we think our trends are going in the right directions. Do you remember what our cost increases were in the first quarter and the big improvement in the second? As all of the programs that we put into place over the last 12 months begin to kick in, we’ll continue to expect good cost improvement.
Janet L. Robinson: This goes directly to the drive on productivity that really started about 18 months ago, and continually we’ve seen the benefits. We certainly will see that going forward in the second half.
Craig Huber - Lehman Brothers: Thank you.
Operator: We’ll take our next question from Edward Atorino with Benchmark Company.
Edward Atorino - Benchmark Company: Most of mine have been answered, but could you go into to the July trends a little bit on advertising at the Times? Given the changes taking place at Federated, would you think Macy’s would be back as a bigger advertiser up in Boston?
Scott Heekin-Canedy: With regard to July, just reiterate what Janet said --
Edward Atorino - Benchmark Company: I didn’t get it all, I’m sorry.
Scott Heekin-Canedy: That’s fine, happy to repeat it. We’re seeing strength in July in our fashion categories and in banking we had a great second quarter in banking. Residential real estate continues - we’re starting to comp against the growth of last year, so while it’s strong, it’s not quite at the robust levels that we saw at the first half. The challenges continue to be the Studio Entertainment for all the reasons we discussed and reported over the first half of this year. Automotive; we’re cycling against the discount programs of last year, with the promotions behind those. Corporate is up against some very tough campaigns, large campaigns from last year. We had a very good first half in corporate, but it’s cycling against those so it’s really going to affect our July performance.
Janet L. Robinson: In regard to the Boston situation, Ed, we do with certainly, Macy’s, very strong push that you’ve read about. They are a very strong branding advertiser. We expect that we will see some growth from them as the month’s progress and certainly next year, but it’s almost important to note what I said earlier about the changing retail scene in Boston going into 2007. As I think you know Barney’s opened a flagship up there. We’ve gotten some nice revenue from them. Neiman Marcus plans to open a second store in 2007. Nordstrom plans to open three stores over the next three years starting in 2007. We’re also seeing some strong growth from Coho’s and Ikea. Also, there is an opportunity in regard to the Burlington Mall, which is more of a lifestyle mall that will be opening shortly in that particularly area. So, all in all, in fact it’s in September of this year, all in all, there is an opportunity for retail growth going forward in Boston.
Edward Atorino - Benchmark Company: Thank you.
Operator: Our next question comes from John Janedis with Wachovia Securities.
John Janedis - Wachovia Securities: Hi, good morning. I think you expanded your auto section during the quarter at The Times. Can you talk about how that impacted your revenues and where your incremental ad pages are coming from? Then I have a brief follow-up. Thank you.
Scott Heekin-Canedy: We introduced an enhanced, redesigned Sunday automotive section in April. We expect it to add quite substantially to our budget expectations for 2006. We are seeing new dealers come into the environment, and we are in a position to capture the national spending trends.
John Janedis - Wachovia Securities: Okay. Just on About.com, clearly you have had some pretty great growth since the deal closed. From your comments, is it fair to assume that the inventory is close to a level where you feel comfortable and most of the growth going forward is from the pricing side? Also, on the margin side, do you think you are nearing a steady state there?
 Martin A. Nisenholtz: On the inventory question, again, it is important to keep in mind that the mix of revenue at About is both CPM-based inventory and CPC-based. So to the extent that we are adding pages, we are adding CPC; and to the extent that we are adding pages, we are adding CPM. The pages have increased, I think as Janet suggested in her earlier remarks, quite dramatically. So for example, June to June page views grew from 420 million to 543 million. So we are still seeing a lot of benefits of the SEO, from the SEO side. With respect to margins, you know, margins have increased this year. We expect to continue to see robust revenue growth. Obviously, we need to continue to invest in the business in order to make it as quick growing and as robust as we want it to be. But the model is one where we have a variable cost on the guide side. So in a sense, the more successful we are, the better margin performance should be.
 Janet L. Robinson: It is also important to note that the e-commerce line continues to grow also. So to Martin's good point, it is three streams. It is display, it is cost-per-click and e-commerce.
John Janedis - Wachovia Securities: Thank you.
Operator: Our next question comes from Christa Sober Quarles with Thomas Weisel.
Christa Sober Quarles - Thomas Weisel Partners: Actually just a follow-up on that. I was wondering if you could give the mix of those three categories: display, CPC, and e-commerce at About. Then I think you guys are starting to cycle over some of the dramatic improvements in terms of monetization that you were able to get out of them since owning. I think June moderated, obviously still strong at 39%. But I guess as you look out, are some of those low-hanging fruits sort of done? Then finally, also if you could just highlight what the CPM trends are at The New York Times Digital? Thanks.
 Martin A. Nisenholtz: Sure. Obviously, these numbers move around a little bit, because the CPC to CPM ratios change month-to-month; and as Janet said, e-commerce has been growing as well. But in general, the ad and pay-per-click lines are roughly 50-50. E-commerce has grown from a very small base. It was around $1 million in the second quarter. But from a small base it's been growing very rapidly with the PriceGrabber deal. So we saw strength in CPC over the quarter, so I would say that there was a little bit more than 50% for CPC, a little bit less than 50% for CPM. But in general it is a very, very healthy mix. With respect to the Times CPM trends, the CPMs continue to climb in certain parts of the website. So for the large ad positions in rich media, CPMs continued to climb. For run of site, they have been fairly flat. That has been true I think pretty much across the digital side. Having said that, we have laid in several price increases over the last year. Our overall CPM and productivity per page has risen by about 33% over the last year. So our ability to extract value from the marketplace on that website continues to improve. I think as Janet said at the outset, the redesign is only going to enhance that over the coming months.
Christa Sober Quarles - Thomas Weisel Partners: You mentioned rich media, but we're hearing that video ads, for example, there is tremendous demand I guess for those. Are you able to monetize those as well?
 Martin A. Nisenholtz: Yes, in fact, part of the reason that we introduced a video player on the Times website was to improve or enhance the amount of inventory we could generate from the site. So I would say at this stage, pretty much as much inventory as we can generate, we can sell. The issue is not so much the demand. There is a tremendous amount of demand for rich media, but how do we continue to push out rich media to the user side.
 Janet L. Robinson: In answer to your question in regards to the low-hanging fruit with About, we have continued to expand About. I noted earlier, that we have 42 new guides already this year, with many more to come. Certainly the video that we are adding is creating lots more inventory and certainly premium price opportunities for About. What Martin said earlier in regard to the search engine optimization expertise that we acquired with About is certainly monetizing very, very nicely for us going forward.
Christa Sober Quarles - Thomas Weisel Partners: Great, thanks.
Operator: Our next question comes from Lisa Monaco with Morgan Stanley.
Lisa Monaco - Morgan Stanley: Janet, could you just give us a little bit more color or specifics on retail at The Globe versus The Times? Then, secondly, Len, if you could give us an idea of what you expect maintenance CapEx will be in the '07-'08 period. Thanks.
 Janet L. Robinson: Retail advertising was soft in New England. It was primarily driven, as you have heard several times, by the closing of Filene's. But one of the areas that is showing a great deal of improvement, it has performed extremely well, estimated upward trending, a very pronounced upward trending, is home-related category. That has performed well all year long, and we think it will continue as the year goes on. It is based on, certainly a competition between Home Depot and Lowe's, really, with head-to-head combat there. As I said, when you are looking at the retail openings as the year goes on and going into 2007, there is some opportunity for very good replacement dollars in regard to the Filene's loss, with Barneys, Nordstrom's, Neiman Marcus, and many of the others that I noted earlier, Lisa.
Leonard P. Forman: It is a little too early to talk about CapEx going out for two years. But our maintenance capital has typically been between $90 million and $110 million, and no reason to believe it will be anything more than that. Although keep in mind, once the building ends we have got some incremental spending on [inaudible] which we just talked about and on SAP. But our overall rates are within the range.
 Catherine J. Mathis: Lisa, what Len meant to say is on the plant consolidation.
Leonard P. Forman: Sorry about that.
Lisa Monaco - Morgan Stanley: Yes. Janet, is there any way to quantify retail in New York versus New England? Then just secondly, on the other revenue line it looks like growth moderated just a bit in June. Can you elaborate on what we should expect for the second half? Thanks.
Scott Heekin-Canedy: With regard to the second-quarter retail, we saw modest growth in New York, roughly 3%. It was driven by a very strong May. The New England Media Group saw a very strong May as well. But overall for the quarter, they were down around 7%.
 Janet L. Robinson: One of the major elements of differential between New York and Boston is really Filene's. When you look at how The Globe really benefited from Filene's for several years and the accelerated pullout of Filene's in Boston, that has been the thing that has had the major effect in regard to the retail performance in Boston as opposed to New York.
Lisa Monaco - Morgan Stanley: Then just on the other revenue line for the Company as a whole?
 Catherine J. Mathis: The other revenue line, Lisa, includes TimesSelect, and we will begin to anniversary that in September. So you need to keep that in mind. The other component, though, of the other revenue includes commercial printing, and that has been growing very, very nicely.
 Janet L. Robinson: You have seen that particularly with what I mentioned earlier in regard to Worcester and The Globe printing other newspapers that have been decided increases in revenue streams in the New England Group.
Lisa Monaco - Morgan Stanley: Thank you.
Operator: Our next question comes from John Janedis with Wachovia.
John Janedis - Wachovia Securities: I'm sorry, just a quick follow-up related to the TimesSelect product, Janet. I think you had something like a 13,000 increase in paying subs during the quarter. Are you planning to up the promotion to take that higher? Have you been able to sell advertising on that vertical, if you will, at higher rates because of better demographic data?
 Janet L. Robinson: We are right now at 513,000. As I noted, 37% of those are online-only subscribers. The remaining are print subscribers that receive TimesSelect as a benefit, which really has positively affected retention. We are pleased with what we have seen with TimesSelect. We are coming up on the anniversary in the late September timeframe in regard to renewals and do plan to do some very effective promotion centering around that, to not only retain what we already have but certainly to grow that as well. That includes some very unique content, good creative content, original content, a lot of video, and also some wonderful opportunities regarding our archives. So yes, there is a strong promotional opportunity in play right now.
 Martin A. Nisenholtz: With respect to the advertising question, yes, we have sold TimesSelect as a special audience; and we do extract a higher price for that.
John Janedis - Wachovia Securities: Thank you.
Operator: Our next question comes from Peter Appert with Goldman Sachs.
Peter Appert - Goldman Sachs: It looks like over the last couple of quarters, the share shift from print online in help wanted has accelerated. So two questions: are you seeing that phenomenon in the other classified categories? Two, maybe for Martin, do you think that suggests there might be an opportunity for a change in the pricing model on the online side? Specifically more aggressive pricing online, or maybe increased discounting on the print side?
 Martin A. Nisenholtz: I think it depends on the category. I certainly don't think that real estate has followed the same trend as help wanted, if you look at the numbers. In fact it followed the opposite trend. Automotive as well. It differs by property, but help wanted is kind of in its own category. With respect to the pricing issue, we consistently look at pricing. We have raised prices in help wanted just as we have across all of our digital categories over the last year. We will continue to do that as the market accepts those increases. I might add that we have layered in search engine optimization in help wanted, and it is one of the strongest growth categories with respect to traffic at The Times website. I think it is up almost 200% in terms of search referrers. If you go, for example, onto Google, which I did today, and you type in New York jobs, you will find that our job website is the third linked website on Google. So our ability to extract value is dependent upon our ability to grow the site and we have been endeavoring to do that through SEO for the last year.
Peter Appert - Goldman Sachs: Martin, I know this is tricky, but is there a way to quantify the price differential for equivalent ad, print and online, in the help wanted category?
 Martin A. Nisenholtz: I really don't think that is possible to do. It's a very, very different format.
Peter Appert - Goldman Sachs: Len, can you remind me what the major components of joint venture equity income are?
Leonard P. Forman: We have income from our investments in our newsprint equities. We have some discovery until we continue to exercise our put., and from New England ventures. Those are the major components.
Peter Appert - Goldman Sachs: Is the newsprint -- can you just give us a rough idea of percentages from each of those?
Leonard P. Forman: No, Peter. We don't disclose that information.
Peter Appert - Goldman Sachs: Well, you're leaving, so now could be the time. By the way, we're going to miss you a ton, Len.
Leonard P. Forman: I signed a non-disclosure agreement, Peter.
Peter Appert - Goldman Sachs: Okay, thanks.
Operator: Our next question comes from Michael Kupinski with A.G. Edwards.
Michael Kupinski - A.G. Edwards: Thank you for taking the question. In the last quarter, you repurchased a fairly modest amount of shares, 500,000. You have a fairly large share repurchase authorization. I was wondering if you can give us some thoughts about share repurchases at current levels; and whether or not you expect to pick up the pace of share repurchases in the coming quarters?
Leonard P. Forman: As you know, we have slowed down our share repurchases, given our other uses of capital. Our decision on whether to increase or decrease our share program really is a function of where we see the best return for our investments. So rather than make a forecast, I will simply say that we will continue with our policy, which is to basically offset any options that are exercised. We have not had very many, given where the stock is, so we have obviously slowed down our repurchases. We have got a discovery put option that we have exercised; and certainly share repurchases are a reasonable use of that cash unless a better investment comes along.
Michael Kupinski - A.G. Edwards: Thank you.
Operator: That does conclude today's question-and-answer session. I would like to turn the conference back over for any additional or closing remarks.
 Catherine J. Mathis: Thank you very much for attending our earnings conference call. If you do have any other questions, please feel free to call me. Thank you very much.
Operator: Ladies and gentlemen, that does conclude today's conference. We thank you for your participation.